Operator: Good morning, and welcome to Prudential PLC Q1 IMS Analyst and Investor Call. [Operator Instructions] Just to remind you that this conference call is being recorded. Today, I'm please to present the Group Chief Executive, Cheick Thiam.
Cheick Tidjane Thiam: Hello, good morning. I am joined today by Nic Nicandrou, group CFO. And as for Q3 [ph], by Barry Stowe, CEO of Asia and Mike Wells, CEO of Jackson. I am pleased to report that Prudential has made a positive start to the year. In Asia, new business profits, our primary measure of growth, increased by 18% to GBP 308 million [ph], while APE grew by 12% to GBP 495 million. We saw double-digit sales growth in local currency. In Asia businesses, namely China, up 50%; Vietnam, up 43%; Korea, up 36%; Philippines, up 27%; Hong Kong, up 24%; Indonesia, up 22%; India, up 18%; and our Takaful business in Malaysia, up 14%. Our asset management businesses have continued to perform very well and achieved record net flows of GBP 3.5 billion, up 66% year-over-year, with strong performance from both M&G, particularly in Continental Europe and from Eastspring, our Asian asset management business where funds under management exceeded GBP 60 billion for the first time. And still on funds under management, in our asset management business, we're up 27% to GBP 139 billion, reflecting positive flows and higher market levels. And in 2009, they have grown 2.4x in 4 years, underpinning the profitability of our cash relative capital efficient asset management business. In the U.S., new business profits were GBP 192 million. In the U.K., new business profits were up 2% to GBP 63 million, in line with our value over volume strategy. Overall, we are on track to deliver our 2013 group and cash objectives. Let's now take a closer look at each of our 4 businesses in turn, starting with Asia. One our stated group objectives it to double 2009 NBP in the current year, against this objective at the end of the first quarter, we are pleased that NBP was 2.3x higher than the first quarter of '09 at GBP 308 million. Compared to same quarter last year, NBP was 18% higher, driven by our focus on growing unprofitable markets and capital efficient products. Across our sweet spot markets of Southeast Asia, including Hong Kong, we have delivered 20% new business profit growth, outpacing the 16% growth in APE. Our multi-channel distribution platform has been key to driving this strong performance. Our agency channel gathered further momentum in the first quarter with 16% APE growth, ex-India. This was driven an in increase in activations across our sweet spot markets and by slightly higher average case sizes. The bancassurance channel has started the year well, with 17% APE growth in the quarter. If we exclude Taiwan, where we chose not to sell low return capital-intensive products. It is worth noting that our sales across the region through our long-standing partner, Standard Chartered, were up 16% year-over-year. In terms of products, we continue our focus on health and protection, with new business profits from this product segment, growing by 24% year-over-year. We are seeing strong demand for all our major product lines in the quarter. In unit linked products, for example, we have seen a 60% growth in net flows, ex-India. As a result, total unit linked funds under management, excluding India, have grown by 22% year-over-year to GBP 13.6 billion, primarily reflecting strong growth in net flows, higher market levels and favorable foreign exchange movements. I will now take a moment to run you through highlights from a few select markets, namely Indonesia, Hong Kong, China, Philippines and Vietnam. In Indonesia, sales in pounds increased by 15% in the first quarter, with NBP growing at a faster rate of 40%, driven mainly by sales of health and protection writers and unit-linked products. Asian recruitment, Asian training and Asian activation are core to our strategy, and we continue to see significant opportunities to further build out our distribution across the archipelago. In Hong Kong, we delivered APE growth of 26%, with strong contribution from both our bancassurance and agency channels. We have seen this quarter will benefit from our initiatives to reactivate agents and from higher average case sizes, with continued success in the Mainland China customer segment in Hong Kong. I'm pleased to report that after years of effort, we have made a good start in China with first quarter APE up 59% and NBP up 31%. Growth has been broad based with both agency and bank channels growing at rates of more than 50%. The quality of our corporation with CITIC, our long-standing partner, and the implementation of our strategy, have had a positive impact. Our current geographic footprint provides us access to 2,350 branches and a population of 600 million. We are focused on execution to capture this considerable opportunity, while continuing our geographic expansion opportunistically. We have always talked about China as a long-term option for our group. We are confident that overtime; it will make a contribution to the group more in proportion to its size and scale. As we have seen in Indonesia, Southeast Asian markets often start from a low base, but can produce double-digit growth for a long period of time, becoming ultimately material contributors to the group results. This dynamic can be seen at work network today in markets like the Philippines. Both Fitch and Standard & Poor's have upgraded their rating of the Philippines to investment-grade recently and our business there has continued to do well. With 40% growth in APE this quarter, which was following 67% growth in the previous year. So NBP has more than tripled over the last 2 years in that market, demonstrating that the benefits of improving scale and productivity as our smaller businesses grew have a levered effect on profitability. So that profitability often goes up with size. In Vietnam, we are pleased to report sales up 43%. This validates our approach to this market, which is to take a long-term view, but helps us navigate through the ups and downs of economic cycles. So let me now touch upon a few recent initiatives in the region. Last week, we announced the completion of the Thanachart Life acquisition and the loan term of 15-year exclusive bancassurance partnership with Thanachart Bank in Thailand, which significantly expands our scale in this key target market to over 850 branches across all our partnerships. This is an important strategic step. We are excited by this opportunity and we look forward to reporting our progress in this market later in the year and beyond. We've also commenced operations in Cambodia in January of this year, in partnership with ACLEDA Bank, which is the largest retail and commercial bank in the country, with over 230 branches. Finally, we are in the process of opening a representative office in Myanmar. Our processes for launching greenfield operations within new territories are becoming well practiced and the speed to launch that we can achieve emphasizes the strength of our execution in the region and the power of our Prudential brand across Asia. While these new territories are unlikely to make material contributions in the short term, over the long term, they a have a potential to be highly accretive for shareholders. Looking beyond this quarter, with favorable structural trends in the region, combined with the unique nature of our Asian franchise, make us confident that we are well positioned to deliver sustainable growth in IFRS earnings and cash flow effort over the medium- to longer-term. In summary, our business in Asia has had a positive start through the year, delivering profitable growth, particularly in our target area, what we call our sweet spot countries, continues to present significant upside from both large and small markets from China to Cambodia. So we remain on track to double Asia's 2009 new business profits by 2012. Turning now to Asset Management. Our Asset Management businesses have had a strong quarter, with net inflows growing by 66% year-on-year and third party funds under management growing by 27% to GBP 139 billion. M&G has had a record first quarter, delivering net flows of GBP 2.4 million with our sales in Continental Europe helping offset the impact of our actions, which helped close our 2 main bond funds in the U.K. There are 2 important milestones that I would like to mention. The first one is the successful implementation of M&G's geographic diversification strategy. Dividends by the near doubling of international retail funds under management over the last decade to GBP 18.7 billion. They now account for 1/3 of M&G's retail FUM. Second, M&G is focused on growing the higher margin third party funds under management, has led to a 28% growth in these funds over the year, with several funds now reaching a record 50% of total funds under management for the first time from 35% in '09 4 years ago. Eastspring Investments moving to a Asia reporting strong net inflows of GBP 1 billion for the first quarter with funds under management growing by 18% year-over-year. This is the best first quarter ever for Eastspring, beating the previous record of GBP 600 million of net inflows in 2006. As I have already mentioned, this performance has led funds under management to achieve GBP 60 billion for the first time at GBP 62.9 billion. Moving now to the U.S. The U.S. market continues to offer good long-term growth opportunities, due to the demographic shift of a baby boomer generation, which could create 10,000 retirees per day, for each of the next 20 years. New business profits in the first quarter amounted to GBP 192 million. The decline versus the same period last year is entirely due to the impact of low interest rates and narrower corporate spreads. In other words, on a like-for-like basis, NBP would have been flat between the 2 periods. We have continued to manage our volumes proactively in this competitive market. Jackson reduced sales of variable annuities with guarantees by 14%, $3.7 billion of premiums, while driving strong growth in our high IRR in the low guarantees Elite Access variable annuity product to over $800 million of premiums. Elite Access is a key component of Jackson's growth strategy. And we are encouraged by its performance to-date, as it has generated GBP 2.2 billion of sales since its launch one year ago and the monthly sales momentum is growing from strength to strength. We continue to pull the same levers, adjusting pricing and product features as appropriate to achieve our target profits, while remaining within our risk capital. We are focused on delivering shareholder value in the U.S. by growing IFRS earnings and cash. In the first quarter, we attracted USD 3 billion of net flows, up 8% over the quarter, and also benefited from the 10% rise in the S&P 500. Net flows generated by Jackson's ability to attract and retain new business premiums are the ultimate driver of our long-term profitability. So we are very pleased with this performance. At the end of March, our separate account balance stood at $88 billion, up 10% over the end 2012 level and 31% higher year-over-year. Both hedging and policyholder behavior continues to track in line with our expectations. In summary, in the U.S., we remain disciplined in exhibiting on our strategy of optimizing the balance of risk and value and our focus on delivering our 2013 cash remittance objective. So let's move now to the U.K. We delivered new business profit of GBP 63 million year-to-date, 2% higher year-over-year. Annuity volumes in the first quarter were led by strong customer demand for our with-profits Income Choice Annuity, whose sales grew by 69% to GBP 22 million. Two key features of this product, namely income security, combined with the potential for income growth, are proving increasing effective to customers in the current low interest rate environment. Moving on to bulk annuity market, where we have, as you know, an opportunistic approach. We did not complete any bulk annuity transactions in the quarter. Its new potential deal met our hurdles in terms of return on capital and payback periods. The strong retail annuity performance largely helped offset the fold in investment bond volumes, which, as expected, were impacted by the implementation of retail distribution. While we remain well positioned to operate in the RDR environment, we expect the short term disruption to persist, as both distributors and customers adjust to the changes. Overall, the U.K. continues to perform well in line with its stated strategic objectives. Moving on to our balance sheet, a key feature of the current world economy is a historically low level of long-term interest rates. In that context, we remained defensively positioned on the asset side of our balance sheet. And at the end of March, our IGD surplus remains robust at GBP 4 billion, which is now stated after deducting the 2012 final period. Now let me now say a few words about our outlook for the remainder of the year before we move to questions. Although the macroeconomic context remains uncertain, there are increasing signs of recovery in the U.S. economy. And at the same time, the Eurozone continues to face macro headwinds with the most recent economic data approaching debates on the probability of success of the current strategies of deficit reduction. Asia, with its demographics, healthy fiscal position, low indebtedness and the significant potential for further productivity gains in the economy, is expected to continue to grow faster than the developed Western economies. In this context, our footprint, with leading positions in Asia, a strong presence in the U.K., a focused -- sorry, a strong presence in the U.K., a focused presence in the U.K. and a well-performing asset management business and no presence in the Eurozone is attractive and should allow us to continue to grow profitably. Our businesses are in good shape, our balance sheet remains strong and we are focused on serving our customers across markets and delivering profitable growth from Asia and cash from all business units. We are confident we will deliver our 2013 objectives. So with this we can now move on to Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Blair Stewart of Bank of America.
Blair Stewart - BofA Merrill Lynch, Research Division: I've got 2 questions. Firstly, on the U.S., where you're seeing a slowdown in VA sales with guarantees and obviously a pickup in Elite Access. I just wonder what -- how that changes your thinking in terms of cash flow coming out of the U.S. in the coming year or so? And how you weigh that up against possible strategic opportunities there? And secondly, I guess, this is the first time publicly you've been able to -- or you've had the opportunity to talk about the change you see in your U.K. business. I wonder if that signals any change to the direction of the business?
Cheick Tidjane Thiam: Okay, thank you, Blair. Maybe I'll let Mike take the slowdown in VA sales and the impact on cash flow. I'll say then a few words about the strategic opportunities in the U.S. And then we'll take the U.K. question. So, Mike?
Michael Andrew Wells: Yes. I think the Elite Access has, call it, 150 basis points of total fees coming to us on the product. So from a profitability cash flow point of view, it doesn't change the strategic model a whole lot. We're, obviously, very pleased with the efforts on our folks to launch that product. I think it's doing exceptionally well. If you add it and carry them together, they did a $1.5 billion last quarter of sales with no guarantees, which, as we've talked before, historically, has created some concerns, but we like the traditional product we're selling. We like the new products we're selling and the direction we're going. Everything actually looks really good.
Cheick Tidjane Thiam: Yes. On strategic opportunities, there's really nothing new at this stage. I think, on the full year, we said that we were pleased with the shape of the group that we believe optionality has value, and our position doesn't change. We think that the U.S. is doing exactly what we want it to do from a shoulder perspective. So we're pleased with that. On the U.K., no international transition really. Robert has done 4 years. And again, I think he's done a really good job. We're very pleased with the shape of the business in the U.K. and what he's done. He expressed the desire to move on, and I think we did our job, which is to find him a very good replacement. I think Jackie is an outstanding professional, and she will be a very good leader for that business, but no, no change in strategy expected.
Blair Stewart - BofA Merrill Lynch, Research Division: Just if I may, coming back to the first point on the U.S., the question was more really concerned with what the change in the mix of the business does to your free cash flow opportunity.
Michael Andrew Wells: Do you want to take that?
Cheick Tidjane Thiam: Go ahead and I'll complete it, go ahead.
Michael Andrew Wells: I was just going to say, Blair, not a lot. I mean, again, there -- there's a lot of different -- I think we're up to 6 different accounting methodologies we look at the business. But from a just pure economics point of view, EA is another good diversifier, another good source of operating income. We talked a lot in New York about profitable vintages. Every vintage of EA is profitable and it's just diversifies, and I think improves the quality of earnings and doesn't put any strain, given there's almost no capital deployed, it doesn't put any strain on capital as it relates to cash flow. So I think -- I know you're a big fan of dividends and cash flow out of the U.S. and I don't think it changes anything in a negative way.
Nicolaos Andreas Nicandrou: Blair, if I could, I mean, I think in the short-term, I agree with everything. Just to reiterate what Tidjane said, there's USD 88 billion of separate account balances, USD 2 billion of that is the contribution from the sales that we've had in Elite Access over the last year or so. So it's great how well the product has done to get the traction that it has. But it's still modest in the overall scheme, in terms of asset under management.
Cheick Tidjane Thiam: It's a fair question. We've emphasized cash a lot in all our communication, et cetera. So it's a fair question. But I think what you're hearing from our office is no material change and we're pleased with growth in assets. The $88 billion is really the foundation of the cash flow generation of profitability with the fees we were able to collect on those amounts. So we're quite pleased with that.
Operator: Our next question comes from the line of James Pearce of UBS.
James Pearce - UBS Investment Bank, Research Division: Another question about U.S. Talk about market conditions being highly competitive. Is that intended to -- suggest things are getting tougher because I think last year, you were experiencing a race to the bottom in terms of policy benefits and it felt like it wasn't a market where competition was a big problem. And also, on the U.S., could you comment on the relative margins of Elite Access compared to the with-guarantee variable annuity product, please?
Cheick Tidjane Thiam: Okay, sure. Mike, you want to paint a little bit the competitive landscape in the U.S.?
Michael Andrew Wells: Yes, I think -- James, it's uneven right now would be fair. I think you have some of our competitors that -- and I think that they're very public about defining an appetite for what they will or won't take on their VA products. We've had others that are increasing the competitiveness and attractiveness of their VA products. Overall, the industry numbers quarter-over-quarter are flat or a little down. So I think as we've talked about in the past, the concentration among 3 of us for a few years there post crisis was probably unique in market structure and you're seeing a little broadening of that. I think you'll end up -- this is not any news, but I think we'll end up with a half dozen competitors fighting for the space, we're seeing a lot of the firms that were 3 to 7 sort of coming up in the rankings in their product offerings. Again, some of them are pricing more aggressively. But it's for individual firm reasons, I don't think anybody is looking at the space right now and saying it's not a place where you can profitably provide good product to clients. I think just the opposite. I think, the consensus here both with the insurers and even now, it's in private equity, looking at somebody's deals as if there's money to be made here and still offer good product to consumers.
Cheick Tidjane Thiam: Yes. And I think your next question was margins, James, really EV and NBP is not necessarily a great way to look at those products. The way we really run the business is on IRR. And that's how we compare the product on that basis. We think Elite Access is quite attractive and, Mike, if you could give more color.
Michael Andrew Wells: Yes, I think, James, on the -- you're -- if you think about that fee levels you have, they're lower but, you put them -- but you're putting up less capital, you're not providing the withdraw benefits, you're not providing a debt benefit. So net on a cash flow basis, on an earnings basis, it's a 20-plus percent IRR kind of product. And again, it's sort of impossible to create an unprofitable vintage of it. The solution that it's -- just to remind everybody, the reason the product works so well is it's a really strong alternative for retail consumers to some of the total return bond funds and U.S. interest rate exposure. And that's a primary concern of advisors that the consumers aren't 100% aware of the risks embedded at these low interest rates and being in a total return bond fund. It's a good product, but consumers probably have a bit too much of it here in the U.S. So we're hitting a need there, and they like the diversification from equities as well we're finding. They think it's a good alternative to just core U.S. equity strategies, as part of their retirement plan. So we like the shape of the trades that are coming in. They're very well diversified. The advisors are getting to know the product. The subadvisors more, the average trade size is going -- coming up. All of the sort of maturity of a new product metrics you'd expect to see we're seeing pretty quickly, a number of new producers, transaction size, number of firms coming on board, all of that tracking extremely well.
Operator: Our next question comes from the line of Ashik Musaddi of JPMorgan.
Ashik Musaddi - JP Morgan Chase & Co, Research Division: Three questions, I have 2 on U.S. and 1 on M&G. On U.S., can you give us charging structure of Elite Access? You mentioned 150 basis points. Can you split that in terms of what comes to the company and what goes to the advisors or the brokers that you have? And secondly, same on Elite Access, what sort of investments you'll make? I mean, where does the money go? Is it in bond funds? Or does it go in equities? Can you give us some color on that? And then M&G, any color on the high net outflow -- I mean, the gross high redemptions in fourth quarter relative to last 4 quarters? It has seen in higher redemption in the third-party space, can you give us some color on what's driving that?
Cheick Tidjane Thiam: Okay, thank you, Ashik. Mike, will you take the first 2, charging structure of EA and how see the money getting allocated.
Michael Andrew Wells: Okay. Ashik, what you're seeing is a slightly -- it's on top of my head, higher M&A -- I'm sorry, lower M&A than P2, but lower commission. We participate in the fund fees as we would on the -- any of our other VA products, shorter surrender charges, we can get to the product specs in detail, it's quite a -- we can take the balance of the call, walk you through the detail. But shorter surrender charge, lower commission and what you're seeing in the funds is by nature, it's an alternative asset-focused retirement product. So you have a wide range of alternative asset classes represented in it, as well as some traditional funds which, in this case, are for diversification. And we haven't distributed where the funds are going yet. For competitive reasons, we know a couple of competitors -- rumor is a couple of competitors are trying to tee up Elite Access competition. So we're not looking to make that easier for them than we need to. So but it's a long list of alt-class, everything from real state to long/short, and these are portfolios that you wouldn't traditionally put into a VA with the debt benefit or with a withdrawal benefit because you'd be hedging a hedge in some cases, or hedging vehicles that are extremely difficult, if not impossible, to hedge but are great diversifiers from core U.S. equity, core U.S. total return debt.
Cheick Tidjane Thiam: Okay. And last question was the M&G. First thing I'd tell you about that is we've been very, very pleased with the performance in the context of the asset management sector both in Q4 last year and in Q1 this year, profit has been very good. And we, as you know, Ashik, we focused on net flows, growth inflows and growth outflows can vary for all kinds of reasons and what drives profitability of the business, approximately net flows. And more particularly about that quarter, it's -- actually a good portion of the flows was about 2 funds that we've closed basically. As you know, we also announced the soft close of a number of our funds in the U.K. and that explains some of the numbers.
Operator: [Operator Instructions] And our next question comes from the line of Andrew Hughes of BNP Paribas.
Andrew Hughes - Exane BNP Paribas, Research Division: The first question is on the U.S. same spread margin. I know it's come down for the fixed annuity from 1.4% to 1.2%. But in the context of these, could you give me background about what closing rate you're paying and how you get to the 1.2%? Because it just seems quite high given that in the U.S. you're talking about the crediting rate being roughly 3% for fixed annuities, suggesting that you're expecting to make 4.2% at least on the assets to get to that 1.2% spread margin. And just going back on point on the M&G net flows. So is what you're saying in terms of the institutional versus the retail, that the retail money is still going into the kind of soft closed funds, if you like, but this institutional money has been completely stopped from this soft close funds, and that's what's driving the inflows down that fund.
Cheick Tidjane Thiam: Okay on the, maybe on the crediting rates...
Nicolaos Andreas Nicandrou: I can take that.
Cheick Tidjane Thiam: Okay, Nic, you can take that.
Nicolaos Andreas Nicandrou: The 3% that you're referring on the in-force business, new business attracts much -- new business that we're writing now attracts much lower crediting rate. Just to take the FA, if new FA business, the crediting rate has been set at 1.5% And if you access the general account through an allocation or your VA, then the crediting rate is at 1%. So in that sense, the crediting rates in the new business that we're at are a lot lower, yet the yields are down, but the net of those 2 effects are the numbers that we used in calculating the NBP and candidly, it's a feature of the market and we're reacting to that with a reduction in the rates.
Andrew Hughes - Exane BNP Paribas, Research Division: So I'm just wondering what you're earning on new money going into that fund?
Nicolaos Andreas Nicandrou: Well, I think it's the crediting rates. I mean, the structure is to thing plus the spread that we have published. And then a 25 odd bps for the RMR reduction. So those are the components as you see it will be the sum of those 3 components.
Andrew Hughes - Exane BNP Paribas, Research Division: 3.5%?
Cheick Tidjane Thiam: On the inventory, really, what I was trying to say if you're going to Q4, the number was quite high, but some of it was one big institutional contract. From memory, it was something like 3.9% for institutional, total was 5.5%. So you talk about 1.6%, 1.7% retail. So a 2.4% retail in Q1 is to compare to 1.6%, 1.7% retail in Q4. So there is no decrease there, fundamentally, back to Ashik's question. In fact, we have movement upwards Q4.
Andrew Hughes - Exane BNP Paribas, Research Division: No, no. I was asking more about the institutional one. I mean, is the institutional net flows going to come back? Or as you point out, a one-off?
Nicolaos Andreas Nicandrou: The institutional net flows tend to be quite lovely.
Cheick Tidjane Thiam: It's very volatile.
Nicolaos Andreas Nicandrou: The team will work on effectively manufacturing opportunities that we'll then market them. They have commitments. And then there is a time lag in when those effectively commitments are fulfilled. So you will see them be relatively lumpy. The soft close is not -- it doesn't affect the institutional business. That is simply on the retail front side.
Cheick Tidjane Thiam: That's correct, correct. So again, the institutional is quite volatile in the [indiscernible] from quarter-to-quarter.
Operator: [Operator Instructions] And there are no further questions at this time.
Cheick Tidjane Thiam: Well, I think this is a first. I think probably our most boring results, we have to apologize. But thank you for your questions. Clearly, the global macro environment remains uncertain and persistently low government bond yields continue to post challenges to our industry as this discussion illustrated. However, our presence in the growing and profitable markets of Asia, our discipline in the U.S. and our selective participation in the U.K., together with our strongly performing asset management business, will give us, we believe, the flexibility and the resilience to continue to produce relative out performance. We're very confident in the outlook for this year and we look forward with confidence for the rest of 2013 as we remain on track to achieving our 2014 objective. So thank you very much, and have a good day.
Operator: That concludes our call. Thank you for attending. Participants, you may disconnect your lines.